Sanelisiwe Tonga: Good morning, ladies and gentlemen. A very warm welcome to Aspen's 2025 Annual Results Presentation. Thank you for joining us. To kick things off this morning, we'll start with Stephen Saad, our Group CEO, who will take us through the group's performance overview and highlights. Sean Capazorio, our Group CFO, will then take us through the financial results in some detail. Following that, Stephen will return to share Aspen's strategy, prospects and guidance. Once the presentations have been concluded, we'll then move over to the question-and-answer session. [Operator Instructions] With that, it's my pleasure to hand over to Stephen. Stephen, over to you.
Stephen Saad: Thank you, Sunny. Thank you. Good morning, everyone, and good to be here and good to be talking to you. It's interesting and the card journey down here, just made a few notes actually from there because you get a chance to reflect. We're so focused on what we're going to do in the next quarter, and you sometimes have to wind back and think, well, listen, what happened in the past year. And I've been around a while, and many of us have been around a while. And the one thing that you -- that's indisputable, I think is that your journey of life, journey in business is always -- it's never going to be a straight road. They always have some turns. But I would think that the events in the last 3 to 4 months of this year, to call what we're seeing a turn here is probably an understatement. We've -- the macro factors, within our world, I would call it extreme turbulence. And actually, it's not over and certainly not for the pharma industry, not over, and it's continuing. So what we have focused on and what you'll see now is a plan, which is one in which we try -- we built our plan around those levers we can control. We've had to change. I mean, anecdotically, I mean, you all know that I love Rugby. And I saw it this way really. It's like being in a rugby game and being -- really, if I look at this last year behind us, it was being well up at halftime. And then you go into the sheds and the ref comes into the room, and he says to you, we're changing the rules of the game. You're no longer playing rugby. We want you to place soccer in the second half. Instinctively, your first reaction is this can't be real. Then you find out it is real and you go into shock. Then you want to curse the ref and probably do curse the ref a bit. You want to walk up the field and you want to call it quits. And certainly, there were times that we felt like that organizationally with what was going on around us. But this is Aspen, and we live by a mantra and has carried us through much more turbulent times than this in the past, and that is really the rest is rust. And that means looking your teammates in the eye knowing they've got talent, seeing their commitments there and knowing that they still got fight in them. And then you can't just go on that passion alone. You have to look at changing your plan, and simply moving from Rugby to Soccer, you're going to have to not play the bonds squad, and you're going to have to put 8 backs onto the second part of the game. And it's a painful change. But we have the team to win. We have the assets to win with, but we have to win differently from the plan that we initially envisaged. And as much as things change, they do stay the same for us. And for us to win, we have to do what we've always done. No time for rest, keep moving and leave no place for the rust to settle. So with that, I'd like you to look very carefully at what I said and see how our plans have changed and how we try to manage what we can see in front of us. So let's look a little bit at what we've done in what -- how we're performing over the last 12 months. So just a quick overview of what we see is good, what was bad and what is our plan from what we've seen out of this. So what's really good is the very biggest part of our business that makes up 70%, 80% of our turnover and now a much bigger portion of our profitability. We've had really strong momentum in the Commercial Pharma, and it's sustained. We've got over the bumps that we've had in China and Russia, and we had double-digit constant exchange rate in revenue and EBITDA growth. We've had revenue growth across all our segments, segments that's Prescription Medicines, OTC Medicines, Injectables. And the China business, which was under a lot of pressure, and we have acquired the Sandoz business has been consolidated and reshaped. We've got material near-term pipeline realization, which we're going to take you through in Commercial. Commercial, a lot of it is around what we have achieved and hope to achieve in GLP-1s and manufacturing is the sort of the commercialization of key contracts around [ vials ] . And as has been traditional for Aspen, we've had very strong operating cash flow conversions. What was bad? We had an unanticipated loss of a material contract. And when you don't anticipate things, you're not brace for them, a lot of that EBITDA reduction just fall straight through to the profit line. We had -- we not only faced global -- new global tax regimes, but they were also implemented retrospectively. And that obviously impacted both tax rates and the impairments, which are measured off tax rates, and Sean will talk to you about that. And then the relative strength of the rand versus a basket of currencies, and you'll see that is -- that the rand has been incredibly strong, and Sean will take you through a lot more detail of how those currencies have impacted us. But currency, one year it works for you, one year it doesn't. It's not a factor we can control. But it certainly diluted the growth -- the strong growth in Commercial Pharma. So what is our plan? Our plan is to sustain the momentum in Commercial pharma. There's a lot of cost, a lot of write-offs in our existing base business that performed well, coming out of the China restructure. And so China, properly restructured, is expected to contribute more positively to EBITDA than revenue. We have to reshape our Finished Dosage Form facility with regards to steriles. If we take the income out of the contracts that we've lost, we have ZAR 1.7 billion loss embedded in these results. And as I said to you earlier, we need -- we are focused on restructuring for what we have certainty over and those variables that we can control. You will also see from our CapEx expenditure over the last period in manufacturing and development. We spent a lot of money to put ourselves into a really good position in GLP-1s. You can never be sure where you are with registrations and regulatory process. But I think one of the things that have given us incredible confidence and made us very pleased is that the Canadian regulator is a very stringent regulator, and they go through a process called screening, which is to -- is your dossier -- they screen it to say, can it go to the next phase in the regulatory process. As you know, we compete against -- in this space, you're going to compete against many, many competitors, many globally large generic competitors as well. And I'm very pleased to tell you that we're one of only 3 dossiers that are through screening in Canada as we speak. So we're right in the front of the queue and we can never promise and deliver anything, but certainly, you'd rather be there than not being screened at all or being told you've got deficiencies and come back for screening. The focus in the business now is going to shift to free cash flows. We -- and Sean will take you through that, our declining capital expenditures and how we see this narrowing over time, a reduced working capital investment. And Also, we have to be candid about where we are and how do we unlock the sum of the parts of the valuations of Aspen. And what does that mean? How do you unlock value? So from our perspective, we see the world, we see our manufacturing assets, and they have value. We have assets that make a big profit that are offset by assets that make a loss. But the assets to make a profit are worth money. And if we say, we as a group feel our manufacturing assets are worth more in value than our debt. If you believe that -- and we believe that then you turn around and you say, the whole of Aspen, the Commercial Pharma business is represented in our market capitalization. And given the profitability we make in Commercial Pharma and the forecast we've given you, that gives you a multiple of EBITDA on our business of somewhere between 4x to 5x. And when you look at assets that perform like ours across our industry at that level, the assets, we believe, would have a solid double-digit multiple. So that is what we see as what we have to demonstrate is how we unlock that value for you as shareholders. It's because we see that value and because I saw that value that I invested so heavily in Aspen recently. It's because I believe that we have the team to unlock and the assets to unlock this value for Aspen shareholders. And with that, Sean, I'll hand over to you, and you can take everyone through the numbers. Thank you.
Sean Capazorio: Thank you, Stephen. Yes, it's been a really very, very challenging year, particularly the second half following the loss of that material contract. So really, as Stephen was saying, we've had to adapt our strategies, but we're very excited for where the journey is going forward, and Stephen will take you through some of that in his later section. What I will do now is just take you through the key financial elements of our results and a little bit of guidance into the future as well, which will then link into some of the messages that you'll hear from Stephen in his presentation. So if we first start with the first financial highlights. I'll take you through revenue and normalized EBITDA and our earnings trends year-on-year. You will notice on these bars, we've put both the reported and the constant exchange rate numbers. The constant exchange rate numbers are the ones with the -- in the white digits. And we've done that deliberately because it has been quite a significant impact from the strength of the rand. I'll take you through that in a little bit of detail later on. But certainly, the constant exchange rate and the strength of the rand has diluted our reported performance. So if we look at the first graph on the left, our revenue, we ended the year at ZAR 43 billion in terms of constant exchange, that was 1% up, 3% down in reported. And the very strong performance we had in our commercial pharma business was offset by a decline in our manufacturing revenue, and I'll unpack some of that detail in a later slide. If we then look to our normalized EBITDA, we ended the year at a normalized EBITDA of ZAR 9.6 billion. Relative to constant exchange rate EBITDA of ZAR 10.4 billion, a reduction of 8%. If you look at the reported EBITDA last year, it was ZAR 11.3 billion. So you can see the delta is about ZAR 800 million between reported and constant exchange rate EBITDA. So it just gives you a sense of the impact of the strong rand on our results this year. Looking at that ZAR 9.6 billion, the big impact there has been the loss of that material contract. And as you recall, that has been around ZAR 2 billion of loss. So if you add that back on to the ZAR 9.6 billion, you'll be sitting at around ZAR 11.6 billion of EBITDA, which will be a lot more -- a very good result if we hadn't lost that contribution from that contract. So that's the way we -- unfortunately, we've had that fork in the road, and we've had to regroup our strategies, but certainly an overall tough year, but I think the Commercial pharma underpinned a very strong result and supported most of that EBITDA strength in the year. Moving across to our normalized headline earnings. There, we ended the year at [ ZAR 10.56 ], a 22% reduction relative to the constant exchange rate earnings. The gap there is wider than what we had in our constant exchange rate EBITDA of 8%. And the reasoning for that, which we'll also talk to in subsequent slides, we did have an increase in our interest costs of around 21%. Those -- the interest costs themselves, we did anticipate and we did guide that increase. So it's not a surprise that, that has gone up this year. We've also had an increase in our tax rates, which I'll take you through also in a later slide. So those are both anticipated increases. The thing we didn't anticipate was the foreign exchange volatility and particularly in the last quarter of the year, the rand weakened quite significantly against the euro, particularly and caused quite a lot of foreign exchange losses in our last quarter, which then elevated our finance costs. So those are the factors that have caused the gap between earnings to be wider than the gap on normalized EBITDA. I think also just to give context to the constant exchange rate value difference on the earnings. Again, 7% difference doesn't sound like a lot between constant and reported. But when you put it in value, it's a ZAR 600 million earnings difference. We could have banked the extra ZAR 600 million of earnings if the rand had stayed at the same level as it had in FY 2024. Looking forward to the other highlight metrics, and I'll start with the graph on the left. Net working capital to revenue ratio, we ended the year at 47%, it's slightly elevated from where we ended in '24 of 45% and much better than what we had in '23 of 55%. Our internal target for this year was 45%. Unfortunately, with the loss of the material contract, which you will recall is very working capital light, we weren't able to recover the lower working capital with the loss of revenue, unfortunately, but certainly still had a very strong working capital performance in the second half as anticipated. This led to a very strong operating cash conversion ending for the year. And so if you look at that second graph, we ended the year with an operating cash conversion rate of 147%. I think it's one of the highest that I've seen in -- definitely in the last 5 years and way up on 103% last year and 88% in FY '23. So strong cash conversion performance for the year. Looking to our financing costs, there are 2 elements that I'd like to talk through there. Firstly, the interest, if you look at the numbers in white, our interest increased to about ZAR 1.3 billion from ZAR 1.2 billion, around about a 10% increase. That was anticipated. And so it's not something that we were surprised by. However, if you look at the shaded section, you can see our foreign exchange losses increased from around ZAR 60 million in '24 to over ZAR 200 million in the FY '25 financial year. And it all came in the last quarter of this financial year following the U.S. tariff-led global volatility, something out of our control, and that caused the overall finance cost to move from an interest increase of 10% to an overall increase of 21%. Looking to the far right on our net debt, the strong -- the weaker rand at the end of the year relative to the euro caused quite a lot of foreign exchange impact to our level of net debt at around about ZAR 2 billion of that. So if we look at our overall net debt, we ended the year at ZAR 31 billion. However ZAR 2 billion of that is related to foreign exchange and closing rate restatement of debt. If you look at constant exchange rate debt, it's around ZAR 29 billion versus ZAR 27 billion for the prior year. So that's an increase of around ZAR 2 billion. And a lot of that was driven by our investment in CapEx, particularly in the GLP-1 section, which we hope to drive strong returns in the years ahead. From a covenant perspective, we ended the year at 3.2x and below our covenant ratio of 3.5. Let me -- then what I thought I would do is just unpack the strength of the rand. And I know it looks like quite a daunting slide. So if I can ask you just to cast your eyes to the bottom right graph. And it's very simple once you understand all the moving parts. If you look at the black dotted line, that is the -- where we've rebased our rand back to June 2023 rates. And then what we've done is we've compared the relative rates from June '23 for all our major trading currencies in the financial year 2025. And all of the currencies that are trading currencies, you can see for most of the year have been below the black dotted line, in other words, weaker relative to the rand. And the only 2 currencies that sort of lifted above the dotted line were the euro and the pound that you'll see there, the yellow line and the dark line. Those were the only 2 currencies that strengthened towards the end of the year. But over the year, the average rates were well below the rand from a strength perspective. If you then look -- you'll see the blue and the red line at the bottom, that's the Brazilian real and the Mexican peso. Those were particularly weaker against the rand this year. And I will take you through the revenue performance in later slides, but you will notice that in the Americas, that significantly impacted reported performance versus constant exchange rate performance and around about ZAR 1 billion of revenue impact because of the weaker rand relative to those currencies and also the other Latin American currencies. If you then look to the graph on the left, it's the same rebased exchange rate to the rand to June 2023, but it's for the FY '24 financial year. And there, you'll see the lines are all well scattered around the black dotted line, meaning that the exchange rates were a lot more aligned last year and not volatile. And so you can see the year-on-year impact of the strength of the rand in the FY '25 period. What does this mean? If you look at the table in the top left, you can see that the -- I've got the reported numbers on the left and the constant exchange numbers on the right. And you can see that from a revenue perspective, there was a 4% delta between reported growth and constant exchange rate, minus 3% to plus 1%. And if you go down the table, you'll see at the EBITDA level, we moved from a minus 15% to a minus 8%, which if you remember, is about ZAR 800 million EBITDA impact and NHEPS goes from minus 29% to minus 22%. It's 7% impact and a ZAR 600 million impact on earnings. So certainly a big -- something outside of our control and has been a big dilutive of reported performance. We do measure ourselves on constant exchange rates. So that is the way we measure the business from an operating perspective. I'd like to then just unpack the group revenue performance for the year. If we look at the overall revenue, what I've got on this slide, we've got the FY '25 revenue in dark blue, then followed by the FY '24 reported revenue, and then I've got both the reported and the constant exchange rate performances on the right. Looking to the bottom, our group revenue of ZAR 43 billion ended 3% below reported, but 1% above in constant currency. You will remember that last year, we had the benefit of our heparin business. And I think you will remember it quite vividly because it gave us a very strong cash flow benefit in the prior year where we converted our heparin business to a working capital-light toll model. And so there was quite a significant one-off revenue boost in last year's number from heparin, albeit at low margin. So if we do exclude the heparin once-off distortion in the numbers and take that out, then our overall group sales growth is actually plus 7% relative to the plus 1%. And then looking at the factors driving that plus 7% growth, commercial pharma, healthy growth of 10%, double digit. And underpinned, if you look at all the segments, I think Stephen mentioned it earlier on, all 3 segments showing growth; Prescription, OTC and Injectables, and it's also supported by organic growth as well. So that's organic growth and acquisitional growth underpinning those growths. And in our Manufacturing segment, if you exclude the impact of heparin, around about a 3% revenue decline in Manufacturing. Looking then under the hood to Commercial Pharma and how that has performed across the regions. Again, just to sort of talk you through the slide, we've got -- we ended the year at ZAR 32 billion of turnover for Commercial Pharma. In reported terms, it was a 5% growth in constant exchange, as I've said earlier on, a nice 10% growth. If we exclude the LatAm acquisition, which is an acquisitional growth, our underlying organic growth is a solid 7%. And so that's certainly our sort of our North Star in the business is if you're getting that strong organic growth, you know it's going to be driving strong cash flows going forward. So we're very pleased to announce that 7% growth is an underlying growth. If you then look across the regions, we've had solid growth across all the regions. The only one that's showing a negative growth there is Europe. However, Europe and Asia, if you recall, were impacted by the product swap deal we did with Sandoz. And so if you exclude the divested products in the Europe region, the underlying growth is a healthy 3% growth in constant exchange rate. Our shining star, our biggest region in Commercial Pharma, Africa, Middle East had a healthy 13% growth with strong organic growth and then also boosted by the successful launch and rollout of Mounjaro, the Lilly product, Mounjaro, and Stephen will take you through some exciting statistics there to show you how well we performed in a very, very short time. You'll see the Americas growth, the highest -- one of the highest value growth there, 17% growth in constant exchange rate. And you'll notice, you'll ask why I highlighted that in red. If you cast your eye to the left of the 17%, you'll see that the reported growth is only 2%. So that is where -- if you go back to my exchange rate slide that I spoke to you about earlier on, the Latin American currencies were the hardest hit in terms of weakening against the rand. So quite a big delta there of 15% between reported and constant exchange rate growth. And if you do the math, that's about ZAR 1 billion revenue impact that we've had to take because of the strength of the rand. We're also very proud of our Australasia growth. If you remember from the half year where they were sitting at a minus 2% and happy to report they've ended the year with a 2% plus constant exchange rate growth with a very, very strong second half growth of 6%. So a good recovery from Australia, and they are very well poised going forward, particularly with the shift of their business towards a more OTC-based model. And I have got slides in the appendix, which go through the 3 different segments, and it'd be very interested to see how the Australian business has performed in terms of the OTC segment. Then looking at the group EBITDA, I think I'd just like to just talk you through the mechanics of the slide. So what we've got here, we've got revenue, gross profit all the way down to EBITDA. And I'm comparing FY '25 numbers. I've put the reported numbers in there. And so you'll see our reported EBITDA there of ZAR 11.2 billion. And then I've also included the constant exchange rate EBITDA numbers because of the massive delta that we spoke about earlier on. And all my commentary will be around the constant exchange rate trends because those are the ones that are relevant to the performance of the operational units. So looking first to revenue. We've already covered this, but a 1% growth in revenue with a big growth in commercial pharma, offset by a decline in manufacturing, but bearing in mind that manufacturing has had that heparin distortion in the prior year. On the gross margin, we've actually gone up 4% relative to revenue growth of 1%, and our margin has increased from 42.6% up to 44%. And that is a function of the higher commercial pharma sales mix in the current year and also the fact that the heparin sales in the prior year were a very low margin, and so they also distorted margins last year. So a nice increase in our gross profit margin percentage. However, the underlying segments will unpack later on in terms of the performance of the 2 segments, but 4% growth in gross profit. Looking then to expenses, you'll see that the expense growth is elevated at around 13% and our ratio to revenue has gone up from 22.7% up to 25%. That has been elevated primarily because of the absorption of the Sandoz China business into our Commercial pharma business. And so this year, we had the benefit of the revenue in China, but we also had double expenses in China for most of this year. We have, however, completed the restructure and reshaping of that business in China. And so going forward, it is well poised for growth in the year ahead. But for this year, we had to absorb duplicate expenses for quite a large part of this financial year. However, it will be poised for strong growth in the year ahead. And I think Stephen will talk through that in some detail in his section later on. Last year, you will remember, we had a one-off compensation in our books of about ZAR 0.5 billion. There's no equivalent for that this year, so that had a dilutive effect on EBITDA performance in the current year. And if we then look to EBITDA, we ended the year at ZAR 9.6 billion, 8% down on the ZAR 10.5 billion in constant exchange rate. And the big factor there was the loss of the mRNA contract. And as I said earlier on, the impact of that was around ZAR 2 billion. So if you put that back on top, then you would have seen a very different picture here. Going forward, I think Stephen will talk you through that later on. We've got strategies in terms of recovering that lost profitability in our manufacturing business. We've got a strong commercial pharma base and growth going forward. So we do expect our EBITDA margins to lift back to normal levels from FY 2026 onwards. Right. Then what I've done is, I've then put together a Commercial pharma EBITDA slide. And again, very similar format to the group one. We've got the FY '25 numbers in dark blue. I've got the reported numbers there just for reference back to your booklet. And then on next to that, we've got the constant exchange rate numbers and followed by the reported and constant exchange rate percentage changes. If we look at the standout features here, you can see that we've grown our revenue in constant exchange rate by 10%. And very pleasing is that, that's fallen all the way through to profit growth or EBITDA growth of 10%. So growing our EBITDA from ZAR 8.1 billion up to ZAR 8.9 billion. You will see, if you look at the reported number, the big delta that the strong rand has impacted EBITDA from ZAR 8.1 billion to ZAR 8.8 billion, quite a large impact from the stronger rand. In terms of expenses, they have been elevated this year with the absorption of the China expenses, which we've covered already. In terms of gross profit percentage, we have had a little bit of a dilution in gross profit percentage this year down to 58.1% versus 58.5% last year. That was impacted by lower injectables gross margin, specifically with strong -- with higher stock write-offs in China. So we do expect gross margins to rebound in commercial pharma in the year ahead. And we do have a nice section in the appendix where you can unpack all the segmental gross margins. And it's only really the Injectable gross margin that's taken a little bit of a hit this year, but we expect to rebound in the year ahead. So putting that into context, growing our gross margins back to 59% odd, getting our expense base right in China, we do see that EBITDA growth in FY '26 will outstrip the mid-single-digit commercial pharma revenue growth that we've guided for FY '26. And I think Stephen will talk through some of that in detail in his section. So I think the Commercial pharma, in summary, a good performance for this year and well poised for strong growth in the year ahead. Looking then to the Manufacturing performance. There, we ended the year at around EBITDA of just under ZAR 700 million at ZAR 668 million, which is around 38% of the EBITDA for 2024 constant exchange rate, i.e., 62% down year-on-year. The big impact there was, unfortunately, the loss of contribution from the mRNA contract that has been the big impact in terms of dropping that number. Underneath that, the API business did have a little bit of a decline because it had lost the onerous contract benefit that we enjoyed last year. However, looking forward for the manufacturing business, our API business is a very strong profit contributor to the group. I think the EBITDA there is north of ZAR 1.5 billion, and the losses are sitting in our FDF sterile and the challenge and the strategy that we're going to be implementing going forward is to recover the loss in our sterile FDF by FY '27. So we do see, with the recovery plan in the FDF sterile and also supported by very strong and consistent growth in our API business, we do see that the manufacturing EBITDA will grow quite well over the next 2 years and be in a much better place. Unfortunately, we've lost 2 years of traction with the loss of the contract. In terms of tax rates, I know we don't normally talk a lot about tax rates, but this year, it has been something, and we did speak about it at the half year. We've had quite a lot of action here. I think all the technical people got very excited. I mean, all the big 5 -- big 4 auditing companies and all the tax consultants had lots to do this year. But South Africa announced their participation in global minimum tax legislation this year, and they did it retrospectively. So that unfortunately impacted our FY '25 year. And then Mauritius decided to put them at the post and introduce their own minimum tax legislation just before the end of our financial year, and also retrospective to FY '25. And so these 2 announcements have had the impact of increasing our current year tax rate to a level of 22%. You'll see in the graph below that historically, we've run at around 18% quite consistently. So that's -- and that's something that we did guide at the half year as well. It was expected. People will then ask, what do you think the future tax rate is going to be? Well, it always does depend on profit mix. It also does depend on how the actual implementation of this global minimum tax, how it actually -- what the outcome actually is because there's quite a lot of complexity in that legislation. So we'll just see once we've gone through tax assessments, et cetera, what the actual impact will be. But for now, we've gone with the most conservative approach, and we've accounted for it fully in terms of our tax rates. The knock-on impact of these taxes has also impacted our intangible asset valuations. And so I will then in the next slide, take you through that impact. So in terms, if you look at the graph on the right, our intangible asset impairments, which historically have been around ZAR 1.6 billion or ZAR 1.1 billion in 2023, have lifted up to ZAR 4.1 billion in the current year, quite a significant lift. What has caused that? Well, the tax rate that we just spoke about earlier on, what that does is has reduced our after-tax cash flows when we do our valuations of our intangible assets. And so that has had an impact on assets that had very low headroom, putting them into an impairment position. And on top of that, we've also had to impair our mRNA-related intellectual property. So combined, those 2 have given you an overall impairment of around ZAR 2.4 billion. If you strip out that ZAR 2.4 billion, the residual impairment is around ZAR 1.7 billion, and that is very comparable to last year's impairment of ZAR 1.6 billion and slightly elevated over 2023 of ZAR 1.1 billion. But the big storyline is the tax rate the impact on impairments from a tax rate perspective. Positively, if you look at our overall intangible asset portfolio and even with the higher tax rate built into valuing all of our intellectual property, we've still got more than 50% headroom above carrying amount. Unfortunately, for accounting, you can only write down and not write up. So we can't write the assets that are above 50% up. Otherwise, you would have seen a very different picture here. Moving then on to our capital expenditure. I'd just like to explain the graph and then we can unpack it. But if you look at the graph, we've basically put our capital expenditure in FY '24, and we've broken it into what is property, plant and equipment and intellectual property and then what the total spend is. And if you look at the total spend in 2024, we were around ZAR 5.5 billion. 2025, we've ended the year at just under ZAR 5.1 billion. Our plan for 2026 is to come in around ZAR 3.8 billion. So a nice ZAR 1.3 billion reduction that we've planned for CapEx in the year ahead, which will free up and improve and increase our free cash flow. Looking on the right of those graphs, you'll see there are depreciation and amortization numbers there. And if you look at that, it sort of goes from around ZAR 2 billion in '24 to ZAR 2.3 billion in 2026. What our target, as a group, is to try and get our CapEx to equal our depreciation and amortization charge, and we're trying to target that for '27, but definitely by 2028 to get those 2 equal, which is -- so if you look at the gap over time, you can see that in 2024, the gap between depreciation, amort and total cash outflow was around ZAR 3.5 billion. And the plan for 2026 is ZAR 1.5 billion gap with -- and obviously with the objective to close that gap by '27, '28. Just looking at the individual components there of CapEx. If we look at the 2025 CapEx, on the PPE, we ended the year, which is the dark blue, at ZAR 2.6 billion. You will recall at the half year, we guided a number of ZAR 2.9 billion. So we've come in under our guided number for PPE CapEx. And the main reason for that is we've had some delay in our packing -- GLP-1 packing capacity, which we'll implement in early FY '26. So that's shifted into the '26 CapEx plan. And then on the intellectual property, we had a ZAR 2.5 billion cash investment in intellectual property this current year, of which ZAR 1.8 billion was related to GLP-1 and sterile IP-related investments. And so as Stephen was saying, that's where we hope to unlock some of that value in future years. And you will see that the IP CapEx then in 2026 is coming in a lot lower at ZAR 1.2 billion versus the ZAR 2.5 billion. Maybe the last point to make on this slide is of that ZAR 3.8 billion, we've still got about ZAR 0.9 billion of planned CapEx for GLP-1 packing and intellectual property investment for the year ahead. And then that should be -- that should drop quite significantly thereafter. Looking at the saving that we're going to be generating from CapEx of around ZAR 1.3 billion in the year ahead. We're also targeting working capital reductions in FY '26, particularly in inventory reduction programs. And that together with this reduction, we are planning to go -- drive at least ZAR 2 billion of additional free cash flow between CapEx and working capital for the year ahead. On to our ESG program. This is part of Aspen's DNA. We always pride ourselves on balancing between making good returns and at the same time, making sure we balance our objectives in terms of ESG. You will recall that in our interim results, we announced that we had 16 sustainability goals, and we prioritized 4 of those goals in the current financial year, and we've set ourselves KPIs. And I'm very pleased to announce that we've done good progress against those 4 goals. So perhaps just to talk you through how we've performed against the specific goals that we've set ourselves in terms of the 4. In terms of access to medicines, we want to increase the access of critical medicines to patients across emerging markets. And I'm very happy to announce we've achieved an 8% increase in that over FY '24, obviously, supported by South Africa, China and products launched in Latin America. In terms of people, by 2030, we want to get a full gender balance in top management positions. And we've based ourselves around against 2020 levels. And I'm pleased to announce that we're sitting at 32% relative to 19% in FY '20. So a nice performance there and well on our target to get to the 50% by 2030. In terms of compliance and governance and ethics programs, we committed to 100% completion there, and that we've achieved very comfortably this year. And then on the environment, our target is to get to 50% carbon reduction over the -- by 2030 for Scope 1 and 2 carbon emissions. And at this stage, relative to FY '20, we've achieved 24% reduction. So we're just under halfway there and another half to go by 2030. So very proud to announce the achievement of all of these goals. And yes, thank you for listening to me, and I'm happy to hand over to Stephen to take us through a very exciting future and strategy.
Stephen Saad: Thank you, Seanie. Thanks so much. I'm going to talk to you a little bit about strategy, but I think what you should be picking up or is picking up from Sean is a big focus back to basics. We've had big CapEx waves in the past and big investment waves and the period for realization, delivering cash flows is upon us. And I think out of the strategy presentation, you're going to see it's pretty much a no nonsense, easy, simple to understand strategy. Things are simple to understand, but they're not always easy to execute on, and that is the story of what we have to deliver here. So if I look at our strategy, we're building -- we need to keep building on the momentum we have within Commercial Pharma. We're well positioned. It's a solid growth engine. It's something that for those that's followed us over decades, it's been very steady in terms of its growth over that period. And I mean they've been shifting landscapes all over whether China, Russia, European pricing, whatever it is, our margins, very important. Our gross margin percentage returns have been very steady over the many years. And it's not like we have massive portfolio changes. And that gives you a sense of the durability of the brand. Also, we -- the volume increases are very important facilities in terms of trying to retain your cost and just being in the emerging market space where there's just more and more people, absolute numbers in middle class who want a quality medicine. And that is what we've delivered into emerging markets over decades. And unlike some of the developed markets in emerging markets, most countries cater for some form of inflationary pressures. I think we've got all the wrinkles out of our base over the last couple of years, and they've been managed. And we've got really an attractive emerging market footprint for partnering. We've got lots of people talking to us about partnering and partnering with us. And it's a really strong cash generator. As Sean said, that organic growth that we look for in this division is very important in terms of growing growth. What has changed is we have a modified strategy for Manufacturing. We've got a very important API profit engine that we need to keep growing, and we've got to recover the momentum and lost profit from finished those 4. In trying to get that sterile profitability back, we've got to acknowledge, we've got to change the landscape, and that changed landscape is going to need a new pathway. And we're going to have to address our cost base. And then in terms of the pipeline of opportunities that we see, reshaping our sterile finished dose form is key to us, as is our strategy around GLP-1s and performance, both in the branded and the generic sectors. So with that, let's just have a little -- unpack a little bit around our Commercial Pharma business. And in South Africa, we talk about deepening our presence, our penetration, and that is because we really are in the OTC space, the generics space and the branded space largely through our partnerships. And where does that leave us in South Africa? We are #1 in the South African private market. We're #1 in the scrip market in South Africa, and we're #1 in the -- #2 in the OTC market. And I will talk to you a little more about Mounjaro, but having partners like Lilly gives us access to some incredible products and been around for over 30 years following South African pharma. We've never had such a successful launch in this country in the private market as Mounjaro. We also have never forgotten that we are -- we give access to so many across the country. And we do it through our public sector and through our commitment to the public sector. We were the only company awarded in the recent ARV award, a local company to be awarded a share of the ARV tender. I mean that's very positive for Aspen tells you a lot about what we do and our facilities. But a very disappointing for local companies and very sad actually that we, as a country, award tenders like this. There's not massive gaps here. But if you want to encourage localization, if you do want to look after your people and have control over looking after your people, then I do believe there should be some -- there are all these localization legislations, but it would be good to see better implementation to be quite candid around that. We've had a positive track record of growing multinational partnerships. There's Lilly, Amgen, GSK, Bayer, Pfizer, Roche, and we continue to engage with people and the latest company to join with Aspen and partnering us in South Africa is Boehringer Ingelheim. Very exciting and due to the partnership through the Competition Commission and due to start. So growing -- there's just really good momentum in South Africa, good product, really great team of people, very enthusiastic and a pleasure to hear and be with them and engage with them. Then we look at Latin America. And Latin America, I'd like to show you 2 things. First of all, that we made an acquisition in Spanish Latin America, excluded Mexico, and we purchased this from -- it was a Pfizer portfolio that Viatris had purchased. And you'll see that over the period, we've had sustained growth half-on-half. So that's what that the graph on the left -- or it will be maybe on my left-hand side anyway. It shows the growth, and we've grown that portfolio. We took it on in November 2023, and you will see it has grown 34%. It's a pretty big achievement to take on products, move people, move brands and to still grow it. Generally, you have a little hiccup before it grows. But a real tribute to an unbelievable team that we've had in Latin America. And for those that have followed us over the years, you'll see how big Latin America is in our markets now. And the Americas, I think, are only behind Africa, Middle East. So -- and that's why they're a great team, and they do wonderful things. And if we just look at even the top 5 brands that we acquired in this portfolio, all of them over the last year have had double-digit growth. So a great achievement and well done to them and gives you lots of confidence to reinvest in Latin -- to keep reinvesting in Latin America. As an aside, it was interesting. Our team from Mexico pointed out to us the growing influence we have in that market. Every one of our top 6 brands is #1 in their retail position. So all top 6 brands are #1 and a performance -- a great performance. And Latin America has been growing in importance and will continue to grow importance within the Aspen Sphere, and an important region to do well in because the costs are really high, the margins are higher. So if you can get more turnover and get growth, there is more that goes through. And if you don't, you've got a high expense base so it doesn't work so well. So a growing Latin America, very positive for margin growth as well. Nice to have Australasia, Australasia being Australia and New Zealand back on the screen. It's good to be talking about them. We've had -- they've really battled a pretty tricky regulatory environment, and you've seen declines over the period. And we're starting to see a return to growth, and it's not by accident. It's been a big portfolio, recalibration. And the way it works is the OTC business in Australia, you have control over pricing. You don't have it over the Rx segment. And what you see in this graph in 2023, you'll see that the Rx, that's the prescription business that's controlled by the regulatory bodies there, have 47% of our -- was 47% of our business and OTC was just 39%. And over the last years, we've been putting a real emphasis on OTC. And Prescription has gone down from 47% of our business to 41%, and OTC is now the biggest portion at 43%. And that is what has positively impacted the growth trends. Interesting, when you look at the top 5 OTC companies in Australia, remember, we hardly had any OTC business not so long ago. When I said not so long ago, it's maybe 10 years or so back, but not so long ago in pharmaceutical terms. And we are a top 5 company now in OTC in Australia, and we're actually at #4. And if we keep up with the constant exchange rate growth that we have and year-on-year growth relative to our competitors that are above us, we've got a really good chance to get to #3 in OTC shortly. So good luck to the team in chasing that ambition. Many of you will remember some time back, we divested a lot of our OTC -- our generic business out of Australia. And with that, there were a lot of volumes in the market that we lost. But still having said that, we're still a big, big supplier by volume into the -- we touch a lot of lives across Australia. And our team there are #4 in terms of volume supplied out of IQVIA. So a good -- a really important player in that market. And it's really -- it's a big part of our business still. And so Australia moving forward as opposed to regressing is great for the momentum in our broader Commercial Pharma opportunities. And I'll just try to pick on the sort of the 3 big areas to talk you through them so you get a flavor of what's going on underneath there. So if we look under the hood here, and we've got to look under the hood in Manufacturing because if you want to do a proper analysis of Aspen, a proper valuation of Aspen, I think you can't just say this is an EBITDA and I multiply by X. I mean that's you can do it that way, of course, but I think it's a bit lazy. If you have a look at what's under the hood here, there are major components within the business. There's an API business, that's the chemicals that go into pharmaceuticals. And in there, we've got Chemical business, that's synthetic and then we've got things like Heparin and some biochemicals as well. And then we've got sterile finished dose form. Those are big components, and that's our facility in France and the facility in South Africa. We've had near-term finished dose form challenges. That's for sure. We've lost a major contract. We've got uncertain tariff regimes, makes very difficult to contract with people when they don't know, is it 15% in Europe, isn't it? Is it capped there? Or does it go to 225% in time to come? And there's also been a changed approach to vaccines in the U.S. So it's questioning the efficacy of vaccines in areas where it was deemed -- they were deemed okay in the past. There is clearly a value arbitrage in this area. We've got real niche capabilities and they're underpinned by tangible assets. Not airy-fairy stuff, you go there, you can see the assets. But those assets are giving us negative returns. So reversing that is where the arbitrage is. What gives us some confidence in being able to do that is we have a demonstrated expertise. We're realizing -- we've really realized a lot of the API asset potential, and we believe that unlocking finished dose form will now be absolutely key to understanding the value of our Manufacturing. Remember, just looking at Manufacturing and income statement, Sean's income statement will show the gross profit is 3% or 4%. I mean who wants to run a business at 3% or 4%. The reality is there's a big plus in there and there's a big minus, and that's why you get to these low returns. So it's how we change that 3% or 4% return. So let's talk a little bit about the API business. Just a quick recap. We used the words from onerous to auspicious because we started with an onerous contract here, and we had really good technologies, peptides, biochemicals, heparins, fertility, hormone steroids, but the business was a mess when we took it on. And because of that, and it was losing money, it was actually recorded as an onerous contract in accounting terms, which is an interesting term, but it means you bought something and it covered for something else. And so, you've got to create profitability in here over time. I'm not going to go into the accounting of it. We invested significantly. We really worked very hard, change CapEx. We spent money on CapEx. We had massive expertise to try and change chemical steps and processes, build new assets change the working capital environment in heparin, which was sort of an annual -- every 6 months, we come in here, and it would be good news or bad news depending upon where the heparin commodity price was going. And API business is the profit generator within Manufacturing. It offsets the losses from finished dose form. It's mainly a euro-based business with very hard currency cash flows, and it's a very valuable asset with significant stand-alone value. And it wasn't a straight road to get this asset from minus 0 to going to over ZAR 1.5 billion. We had setbacks along the way. That was for sure. But we resolved them. Obviously, it's a lot of determination. We made investment. We've got good expertise, and we had to be patient with ourselves. And we have an asset here that is valuable and one we're very proud of what we've achieved. So let's just look at -- we've got a very simple pipeline of opportunities. As I say, we really are sort of focusing on the main thing, staying the main thing to quote a rugby saying. And one of our pipelines here is reshaping our sterile finished dose form. So let's talk about sterile. Sterile products are important and the capabilities are an important global assets. In spite of all the noise you hear, when you look at global pharma, they are very focused on pipeline, on global -- on sterile assets globally in their pipelines, and GLP-1s are part of the current opportunity and future opportunities. We do have policy chaos at the moment. But as everything, it too will pass. It will end at some point. We are not in a position to guess when and how, and we need to make plans for what we can see in front of us. So that was our -- and that is why our strategy requires some modification. We had set ourselves a target that our inflection point for finished dose form sterile was targeted for this year. So of course, the macro events and the loss of the contracts forced to reset. We've got a base that we have now going into '26, which shows that will show a loss of ZAR 1.7 billion. And our target now is to get positive EBITDA and cash flows by financial year '27. How do we do that? We have to reshape our cost base to match the cost with the current contract. As I said earlier, just to play what we can see in front of us and what we can control. And then we've got existing manufacturing opportunities and taking that, which we've absolutely got and very pleased to announce for patients for South Africans that haven't had it and for Africans and others in emerging markets, we have successfully transferred the insulin contract, and the commercial production has been initiated. It's only initiated because you realize that the regulatory approval is coming soon. And we're expecting turnover in this year. So we ramp up slowly in financial year '26. And by financial year '27, the turnover is forecast to be over ZAR 1 billion. Yes, we lost a contract in our French site, but we've had increased contracted volumes from our existing clients, not nearly enough to cut off what we lost, but it is good to see that existing clients have seen the opportunity to expand a bit with us. And we -- the pipeline of opportunities for us is what we can achieve in GLP-1s and Gavi, and we believe those manufacturing volumes will follow. But they're not included in what we hoped in our ambition to get positive EBITDA and cash flows from financial year '27. Mounjaro, I don't think I've spent more time. I don't go out anymore and people don't talk about Aspen, they only talk about Mounjaro when they see me. So it's really hit the market by absolute saw. It's exceeded all expectations. Our team did an incredible job with an incredible product. It's the fastest-growing product to ZAR 100 million to ZAR 200 million, to ZAR 300 million. The whole market expanded by more than 130% since the introduction of Mounjaro. It's grown the business. It's grown the whole portfolio, and it will continue to grow that business. We -- if you remember, for those that recall, we've gone in with vials initially, which are 4 individual vials. We've now got improvement from the regulator to move to a quick pen. A quick pen means you've just got a pen, a device and you use it for a month, you don't need to get 4 vials and draw from them. And we're literally running out of stock. So we really needed the approval to meet the market demand. We do battle with a lot of compounding and counterfeiting of the product. It really is a problem for the whole market. And we've submitted the chronic weight loss management indication, and we understand the approval is imminent. So unbelievable product, growing tremendously, and I'm going to go out there and say that and put the team under a bit of pressure. I believe that this product will be the first product that hits ZAR 1 billion of sales in the South African market. It's been unbelievable takeup and good luck to the teams because of they're on notice globally that they need to get to ZAR 1 billion on this product. And I think they'll be comfortable. So that's the branded opportunity in GLP-1s. And you'll see from our CapEx, we spent a lot of money in this area. We've taken a big bet in this area. And we -- the opportunity is branded, was with Mounjaro. The generic opportunity is a global one. Like any generic opportunity, timing for market entry is very important. Patents expire in 2026, start expiring from '26. And those patents generally are in emerging markets, and Canada is the exception as an early opportunity. And Europe, the U.S., even Australia are later opportunities. And that later opportunity is -- they carry on and there's individual markets going on through the process, but the bigger opportunities come well in 2031, 2032 and around about that time. Not an easy product, peptide. The development and manufacturing costs are expense. Not easy because there's so many different strengths of the product. It's complex, very expensive. We have most of the manufacturing infrastructure. So our real risk to be able to get our market entry early was a development -- was a focus on development to compete against really big global plans and how would we compete. We -- to give ourselves every chance, we've developed our own IP, we licensed from licensors and partnered with third parties because we felt the most critical thing here would be if we could have our infrastructure manufacture. And on top of it, be early to market, or be a part of transformation, we'll be in an unbelievable position here. Our intention was and still is to first launch a multi-dose pen. So that's the red ones at the top and those ones you put in a fridge for a month and you use for a month, but we're also bringing which is novel for this area really is a single-dose auto-injector, which is what you see in the blue, we simply don't see the -- you don't see the needle. And what that does -- and if we're successful across both, it will bring volumes both into our French facility and our South African facility. They've got slightly different capabilities in terms of what they can make. So the focus, as I said, is an early entry and the early entry opportunities and markets. You're always in the regulator's hands on these and so you're never 100% sure where you end. But as I mentioned earlier, we're 1 of only 3 dossiers past screening in Canada, and that's really positive because Canada is a reference market. And what does that mean? Many emerging markets say, are you registered in a developed or a highly regulated market? And it's important to them because often they rely on that. So a good registration and early registration for us in Canada will give us a lot of leverage in terms of a speedier registrations across emerging markets. And as I said to you earlier, it's really something we're very proud of. We're ahead of almost every global generic company. So well done to our teams, and we've just got to finish what we started. You sort of -- here, you can -- you only start -- only make a noise once everything is delivered, but as I say, we're in a great position. If I look at guidance, the guidance, we've guided double-digit growth in normalized HEPS for financial '26. That's in constant currency, because that's all we can speak of. And it's supported by an improved EBITDA margin. Just to give you a sense of the impacts on the group, our EBITDA was impacted by the contract loss. In H1 '25, we had ZAR 1.5 billion positive, and then we had to provide for about ZAR 0.5 billion in the second half. So a net ZAR 1 billion across the year, but split as a positive in the first half and a negative. So consequently, NHEPS will be below, we believe H1 '25 with really much stronger double-digit growth in H2 2026, a lot affected by the base of '25. We expect mid-single-digit Commercial Pharma growth rates, as Sean pointed out, but higher EBITDA growth rates and gross profit percentages, which Sean also pointed out to was we carried more expenses, and we had write-offs of stock, et cetera, in China. And so performance in China is going to be pivotal for us to achieve a higher profit growth rate. We're also looking to see -- to get our manufacturing in line with this year profit-wise. Effectively, we've got ZAR 1 billion above that we need to replace, just to start going positive. We do see opportunities of achieving that through the optimization benefits and the revenue gains from bringing the vials and other -- the bigger contracts in France on board. And a lot of that impacts H2, 2026. And absolute focus for financial year '27 to bring sterile finished dose form ships to a positive EBITDA and positive cash flows, and that comes from annualized savings, the ramp-ups and the ramp. I think it is important to note, in all of that guidance I've given you that there is no GLP-1 income in there and any GLP-1 income will be incremental to those -- to the guidance given. In terms of financial guidance, I think Sean has spoken through it, but we've got improved free cash flows. We focused again on our operating cash flows, but also our free cash flow is the CapEx reductions, which Sean showed you on his slides, lower working capital investments because it's a lot of -- our working capital was impacted by acquisitions and things like that in the past period. And so we expect reductions, inventory reductions there. Focus on reducing debt to our leverage below 3 by the end of the year, low effective interest rates, which is a global phenomenon. And of course, as we've seen this year and almost every other year, currency will impact our results, that's for sure. And just whether it will be positive or negative. But I think that's where we are head down, focused hard, really trying to -- sometimes in life, you have your setbacks and you think that you see the end of the world, but suddenly you have a look, you have a fresh look and there's a lot we've learned. And a lot positive we've learned, and we're a lot more grander, a lot more detail in terms of where we are with the business. And we've got a few days here with you, and then we're back to the grindstone sleeves up and wanting to deliver on the strategy articulated. Thank you all again for listening to Sean and myself. That's much appreciated. And I think Sunny we're going to go to Q&A now. Thank you. We can go to Q&A. Thank you.
Sanelisiwe Tonga: Thank you, Stephen and Sean. First off, we've got Ken from IFC. His question to Sean, is on the matter of the revised Mauritius tax rate, could you have -- could that have been anticipated? And then his question to Stephen. Aspen has contracts with other IP holders in the manufacturing business. What is the risk of contract disputes with other partners and IP holders?
Sean Capazorio: Great. I'll go first. No, I think that was certainly -- even the Mauritian team themselves were taken by surprise. I think that they had -- always had draft legislation, but we never anticipated that they would implement it so early and then also not that they would do it retrospectively as well. So we thought that there would be quite a time lag before they would introduce it. So that certainly was something that came from left field.
Stephen Saad: Then in terms of the risks on there, I mean, your risks incumbent, you look at your contracts. So you learn from your contracts. What you need -- what you've got to be tight on, et cetera. But for me, forgetting about all legal, your best chance of keeping somebody as if they need you. When somebody doesn't need you as their volumes go to 0, then you're going to -- there's always a risk of a problem. Our existing contracts are -- as you can see, I told you that the ones in our French factory have asked and have committed to increase volumes. So it's really -- and they need us. So they need us, and we can't just go away. So that gives us -- as long as we deliver, we will keep those contracts. But unfortunately, if you -- the other party has a 0 offtake, then you're going to have -- you're going to be looking at things you might not want to look at. So we have a high degree of confidence subject to execution.
Sanelisiwe Tonga: Saeed from NatWest. Stephen, you mentioned the sum of the parts is not reflected in the share price. Does this mean you're potentially evaluating some or all of the manufacturing facilities for sale?
Stephen Saad: So the question is, are we selling our Manufacturing facility. So in order to achieve some of parts, you either have to -- you go into the market, what is the value of this? Can we get the cash flows? Can we get the profitability to rationalize that value? If we can't, then you've got to say, I'm not being fair on the shareholders. I've got you Saeed, there's -- someone will pay more than we can deliver. And yes, we would consider that in that environment. Our focus, obviously, is what's our control, which is to turn these assets into profitability. And to give the values that the market should expect of these assets. Where we are right now is we don't believe the market recognizes the value of the assets. So we either get the returns and the income behind that or we have to look at divestments.
Sanelisiwe Tonga: Sean from Anchor Capital, would like to know -- so he's got 2 questions. Can you break down the access capacity in PE post the insulin onboarding and France post the contract loss? And his second question is, does your generic semaglutide aspirations have any potential consequences for the partnership with Lilly?
Stephen Saad: Our partnership with Lilly -- sorry Sean, you -- but they're both sort of in my space. So the partnership with Lilly is for South Africa and Africa. Our generic opportunity is global and absolutely transparent with both parties as to where we stand on it. So no. The answer is no. In terms of capacity, we have a lot of capacity available in France. Just put me on the spot here, I can work it out for you quickly. More than 50%, maybe 50% to 60% of the capacity is available. In the South African facility, we have -- in that area, we have as much, if not more capacity available as well. So the vials, the insulin vials contract and South African facility, we've got a lot of capacity available across the facility.
Sanelisiwe Tonga: The next question is from Roy from RMB. How is the Viatris thrombotic contract performing? And is the working capital now optimal? Is the ZAR 1 billion revenue guidance for insulin in line with any previous contribution or EBITDA guidance?
Stephen Saad: I didn't understand the question? Did you?
Sean Capazorio: So just repeat that. Sorry, Sunny.
Sanelisiwe Tonga: How's the Viatris thrombotic contract performing? And is the working capital now optimal?
Stephen Saad: Okay. Sorry, I got it. Okay. So yes. No, they're going well, the Viatris thrombotic portfolio. They're doing well. And their volumes grow in the market. They're growing the products in the market, so it's performing. And the second part of the question was?
Sanelisiwe Tonga: Is the ZAR 1 billion revenue guidance for the insulin in line with previous contribution or EBITDA guidance that we've given?
Stephen Saad: Yes. It is in line, yes, it is in line.
Sanelisiwe Tonga: Okay. Next question is from Zintle from Mazi Asset Management. How much more are you planning to invest in GLP-1? And could you provide more detail on your CapEx plans for the coming years with focus areas?
Sean Capazorio: Yes, I think we did that quite in detail in the presentation, but I think we did say about ZAR 0.9 billion for GLP-1s in '26, and that should be the bulk of the GLP-1 investment. And I think, as I said, the plan is to make CapEx and depreciation amount equal from '27, '28.
Sanelisiwe Tonga: Rafael would like to know what do you see as your right to win with the GLP-1 opportunity given the competitive generic market? And why did you choose Canada as your first market?
Stephen Saad: I mean that's a really good question, and it's a question we ask ourselves. What gives you a right to win in the market? And let's talk about Canada, we should raise that first. The reason -- Canada is -- the reason Canada was chosen simply, it is the first patent to fall in a big geography. So that is why Canada specifically. In terms of a right to win, we probably don't have a right to win in Canada. We've got a great business, a good size, but a lot of that would be driven by group buyers, chains, and that. So you do have an opportunity in those markets in that space. But interestingly, since our product has come through screening, we've had a lot of big players approach and say, we've got a right to win more than you in this market? Isn't there something we can do together. And yes, we'll sit and listen to anyone and everyone in that space. However, why I believe we have a right to win outside of, say, Canada is that we've probably got one of the strongest emerging market footprints across global pharma. Even big global generic companies tend to have footprint smaller than us across our particular market and our strength. And so our right to win in Phase 1 is because it's emerging markets focused. And I think we're one of the strongest in terms of a total footprint across those markets. And 2 very important things. We have the manufacturing to back us, and we have more certainty than most that our dossier is in pretty good shape. And those are -- I think all of that gives us a degree of confidence and -- but you've got to deliver on it. There's nothing -- there's no given in it, and you never have a right to win. You give yourself an opportunity to win. I think if you start saying you've got a right to win, that's when you get -- you take your foot off the pedal and that can be very dangerous.
Sanelisiwe Tonga: Keith, from Element Investment Managers. In terms of your realistic 5-year return on capital in your FDF, what would you consider a reasonable goal for management team to achieve?
Stephen Saad: Return, like a return on equity. Yes. Right now, our sole focus is a return is to get the cash flows right and return it to profitability. We've got so much capacity that -- and little increments as you've seen when they come in, they're great and when they go out, it's awful. So we can get really good returns if we put stuff in. But first, we've got to just fix ourselves. We've got to fix our shape, fix our business, make what we've got, look good, build confidence, profitability, see where the market landscape is moving and then adjust for where it needs to go. And I repeat this we have really good assets that are really needed. It's a matter of time. There's a lot of investment going into the U.S. right now in pharma, but you've got -- we've got -- the U.S. isn't the only market in the world. There are 400 million people out of billions, 8 billion, so....
Sanelisiwe Tonga: The next question is from Rendani from Absa Capital. Sean and Stephen, thank you for the comprehensive presentation. Could you please touch on the possible outcomes of the contract adjudication process and your experience with these outcomes, if you have any? Also could you please talk about the revenue opportunity from the pharma agreement?
Stephen Saad: From the what agreement?
Sanelisiwe Tonga: Pharma agreement.
Stephen Saad: I don't understand it quite. So let's deal with the dispute. Where are we mentally on the dispute? Do we do this often? No. Have we got experience? No. Does the outcome really mean anything to what we need to achieve going forward. It will mean money. But somebody hasn't got volumes, you're never going to get those volumes. So you need to replace it because the asset needs volume. So there's no positive resolution to delivering on our strategy here. It becomes a fight about who's right in the contract, who's wrong in the contract and how much money is due. So it's something we've moved on from. We will go through mediation before the year is out, and we'll do all of those good things and arbitration. And there's a process, but there's no result for a -- for this management team to focus on besides delivering on a plan for the overall business. There's no multiples attached to a one-off payment, but there's multiples and value attached to having a contract in there that does 100, much higher multiples. So that's where our focus is.
Sanelisiwe Tonga: Roger from Central would like -- so he says, you say FDF form facilities are losing billions despite billions of investment. Despite your assurance, you have a strong IP here, and you had FDA compliance breach, when will you decide the facility is no longer viable?
Stephen Saad: I really battle -- I'm battling with the question. They're saying, when do you decide your facilities are not viable?
Sanelisiwe Tonga: Yes. The SA facility.
Stephen Saad: The SA facility is not viable. No. I mean, I think -- sorry, with respect, the SA facility is the supporter of all your South African business. It doesn't make tablets. It doesn't only make injectables. It's a very big supporter for your overall business. And it -- we have no option but for it to be viable, and we're very comfortable that it will be viable even if the utilization of the sterile facility is low. That's what we -- that is part of what we are doing in our reshape. We have to get fit, and we have to be in a strong position for that.
Sanelisiwe Tonga: All right. And the last question for now. Do you -- it's from [indiscernible]. He wants to know, do you consider OpEx increases due to Sandoz as an investment which will lead into future margin growth?
Sean Capazorio: So what did you say?
Stephen Saad: I can't hear that, sorry.
Sanelisiwe Tonga: Okay. Do you consider OpEx increases due to Sandoz?
Stephen Saad: OpEx increases?
Sanelisiwe Tonga: Yes. Due to Sandoz as an investment, which will lead into future margin growth?
Stephen Saad: We've actually taken OpEx decrease. So we had our business, the Sandoz business. They both got very impacted by the pricing regulations, but we had 2 teams of people here across those businesses. We had to take those -- we had to take those 2 business expenses and combine them into one. So it's been an OpEx decrease. Our risk is -- I mean, our ambition is even if we keep the same turnover we had last year because of the cost decreases, there will be profitability. The risk we have is not around OpEx increases. It was a decrease. It's if we don't maintain the margin, the turnover and the margin we had for. That is where the risk of performance lies in China.
Sanelisiwe Tonga: One last question from Rendani. Sean, are you worried by the debt mix by region? And could you please talk about how you're thinking about capital allocation given that Aspen borrowed to finance dividends?
Sean Capazorio: So in terms of capital allocation, we've -- I've put that in the slide. We've actually covered all of the CapEx in GLP-1, et cetera. In terms of dividends, we're paying those in the ordinary course of business. So it's in terms of our capital allocation. And it's in terms of our framework of 20% normalized earnings.
Sanelisiwe Tonga: That's all.
Stephen Saad: Thank you. Thanks for all your question. Thank you, everyone, and looking forward to speaking to some of you and more and just delivering on what we're working on here. So thank you so much. Cheers.
Sean Capazorio: Thank you.